Executives: Nicholas J. DeIuliis - President William J. Lyons - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Brandon R. Elliott - Vice President of Investor and Public Relations Robert F. Pusateri - Executive Vice President of Energy Sales & Transportation Services and Executive Vice President of Energy Sales & Transportation Services for CNX Gas Corporation J. Brett Harvey - Chairman, Chief Executive Officer, Member of Executive Committee, Chairman of CNX Gas Corporation and Chief Executive Officer of CNX Gas Corporation
Analysts: James M. Rollyson - Raymond James & Associates, Inc., Research Division Mark A. Levin - BB&T Capital Markets, Research Division Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division Richard Garchitorena - Crédit Suisse AG, Research Division Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Lance Ettus Michael S. Dudas - Sterne Agee & Leach Inc., Research Division David E. Beard - Iberia Capital Partners, Research Division Mitesh Thakkar - FBR Capital Markets & Co., Research Division Brian D. Gamble - Simmons & Company International, Research Division Shneur Z. Gershuni - UBS Investment Bank, Research Division
Operator: Ladies and gentlemen, thank you for standing by. And welcome to CONSOL Energy's Third Quarter 2011 Earnings Conference call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Vice President of Investor Relations, Brandon Elliott.
Brandon R. Elliott: Thank you, Tony. I'd like to welcome everyone to CONSOL Energy's third quarter conference Call. We have in the room today Brett Harvey, our Chairman and CEO; Nick DeIuliis, our President; Bill Lyons, our Chief Financial Officer; Bob Pusateri, our Executive Vice President of Sales, Marketing and Transportation; as well as David Connie [ph], our Vice President of Finance. Dan Zajdel and I are here representing our IR team. Today, we will be discussing our third quarter results. Obviously, any forward-looking statements we make or comments about future expectations are subject to the business risks we have laid out for you in our press release today, as well as in our previous SEC filings. With that said, we will start the call today with Bill Lyons, Bill?
William J. Lyons: Thank you, Brandon. And good morning to everyone. As you've seen in our press release, CONSOL Energy had a very active and successful third quarter from an operational, financial and strategic perspective. Specifically, our mines and gas facilities operated safely and efficiently. We posted our highest revenue and operating earnings per share for a third quarter. We entered into world-class partnerships for our Marcellus and Utica Shale gas acreage and we announced that we are increasing our quarterly dividend by 25%. Now Brett will elaborate on the strategic value of the Noble and Hess partnerships in a few minutes. From my perspective, the partnerships help us accelerate our asset development and strengthen the balance sheet through debt repayment and reduced future capital requirements. And also of significant note in the third quarter, our Coal marketing team has priced about 30% of our expected 2012 coal sales. This activity included our high-vol met coal into the domestic steel market and making additional thermal coal sales to Europe. Now over the last few calls, we have articulated a cogent strategy that is comprehensive, long term and as demonstrated by this quarter's activity, a strategy that is being aggressively executed.  Some of the results for the third quarter. Total revenue for the third quarter of 2011 was $1.522 billion, up 13% year-over-year. These were the highest sales for a third quarter in our history. For the third quarter, we generated operating cash flow of $457 million and adjusted EBITDA of $441 million. These outstanding results have enabled us to surpass our full 2010 totals for these metrics in just 9 months. The primary driver for the quarter results was a 47% increase in our coal margins, which were at $20.38 per ton. CONSOL Energy reported net income of $167 million or $0.73 per diluted share for the third quarter of 2011, compared to $75 million or $0.33 per diluted share for the third quarter of 2010. While we have noted 4 discrete items in the third quarter in our earnings release, and these are related to asset sales and the settlement of the 2006-2007 IRS audit and the related tax accrual adjustment, the overall impact of these discrete items on our third quarter net income was insignificant.  The Coal division. For the third quarter of 2011, our Coal division generated earnings before interest and taxes, or EBIT of $299 million, up $95 million or 47% from the third quarter of 2010. This is the fourth quarter in a row of posting consistently strong operational results. Our low-vol and high-vol met coal operations generated nearly $211 million for the third quarter in EBIT, an increase of $65 million from a year ago. If we step back to 2009, we sold about 2 million tons of met coal. We are now on pace to sell as much as 10.5 million tons of met coal in 2011. On the thermal side, we generated $88 million of EBIT, which is 52% higher than the $58 million from the third quarter of 2010. Now just a few comments on coal costs, which averaged about $55.33 a ton or about $1.33 per ton higher than we had forecasted for the third quarter. While we produce near the upper end of our forecast production and sales range, some of the cost increases were attributable to the roof issues at McElroy and Enlow Fork that we highlighted in our October 14 operations update. For the fourth quarter, we expect costs to be approximately $54 a ton across all the tons.  Few comments on marketing. To continue to drive strong margins, our marketing team has layered in additional contracts and expanded our target markets. During the third quarter, we priced $17 million tons of thermal coal at an average of $64 per ton for 2012. 700,000 tons of high-vol met coal was priced at an average of $80 per ton in 2012. And we had 300,000 tons of low-vol met coal at $210 per ton for the fourth quarter of 2011. Furthermore, we remain on track to export up to 10.5 million tons of coal in 2011 proving the concept that we can produce from our backyard yet still capture world market demand and prices. With the expansion of our Baltimore Terminal by 2 million tons and the opening of the Amonate Mine in 2012, CONSOL will have the capacity to export more coal in the 2012 year. In the Coal division for 2012, we reduced our production guidance by 1 million tons to reflect our updated mine plans. These plans consider the expected geology, the advanced footage projections and other operating factors.  Now let me turn to the gas operations. In the third quarter of 2011, our net income was $2.9 million and that's down $21.3 million from the third quarter of 2010. Average realization was $4.92 per Mcf and that's down $0.80 from the 2010 quarter. This was the main cause of our reduced profitability in the Gas segment. Now during the third quarter, we announced 2 joint venture agreements and 1 asset divestiture. Financially, these transactions established the market marker of our natural gas business and enable us to pull forward the value of decades of drilling inventory. Our Gas business achieved a significant operational milestone in the quarter. We drilled the first 10-well pad on Hutchinson, both derisking and confirming the value of our Central Pennsylvania acreage. We expect to continue to drive down costs through multi-well pads and expect to move our rig to drill our first liquids-rich well which should spud next month. Overall, we are on pace to achieve our 2011 Marcellus goals of accelerating the activity to 80 to 85 wells, our lengthening of our laterals to 4,000 feet from 3,000 feet and drive down unit costs through the use of multi-well pads.  On the financial side, I can tell you that our balance sheet has never been stronger. At quarter end, CONSOL Energy had liquidity of $2.8 billion. We had outstanding operating cash flows of $1.25 billion after 9 months. And we have been able to reduce our capital call for our future drilling and the programs by about $2.6 million through our joint venture agreements. As noted during our Noble joint venture conference call, we can pay down debt, raise the dividend or buy back shares as access for -- as avenues for free cash flow above our capital requirements. We have initially chosen to retire our short-term debt and raise the dividend and we will revisit the share buyback option after finalizing our 2012 capital plan.  So to summarize before I turn this over to Brett, certainly the themes for the quarter would be outstanding operational results, the major execution events of our strategic plans for the joint ventures and the fact that the balance sheet has never been stronger. With Brett, your comments.
J. Brett Harvey: Thank you, Bill. Greetings to everyone on the phone and it's good to share our thoughts with you again after a good quarter. I always talk about safety at the front of this and from a numbers perspective, we continue to work towards 0 and our numbers get better towards 0, unfortunately we did have a fatality on the surface of our Shoemaker mine. We were devastated by that. That's being investigated but that does not limit our efforts or negate our efforts on moving everybody towards 0, so these things don't happen. That's as much as I want to say about that at this point.  We had a very active quarter, overall. I don't want the deals to overshadow the performance of the company. The earnings and the increase in revenue, I think, show the strength of the assets and the focus that our people have on getting the job done. It's important that our shareholders understand that we are executing the strategy of bringing value forward to them as quickly as we can. After we did the deal -- when we bought E&P from Dominion, we announced to you that we would do that as fast as we could. We're bringing that value forward and I think we're positioned very well on both coal and gas for real growth and value for our shareholders.  Let's talk about coal for a minute. About 3 weeks ago, I got back from a trip to China where we spent 10 days over there with EXCO and Bob Pusateri and I. And I wanted to give you my look at it personally because it really confirmed what I've been hearing from our people and our consultants in that marketplace. That is a very mature growing market. It's powerful, because of their population, they do things about 4 times as big as what we do here in the United States, and you can see it when you have boots on the ground and you look around. The volumes are big, the customers are big. Things are happening over there and we really see where our products can go on to there and add volume. When you look at us this year, we've got a little over 3 million tons going into China, but that could be 20 million tons. It's based on delivered price. I think when they look at their mix, our diversification is important to them, reliability is important to them. Our products they like and their steel mills, they're being distributed to small steel mills, large steel mills and we see where there's real value added to us and added to them. Of course, it's all about the delivered price from a long way's away from our mines here in Northern Appalachia. But it shows the value of the high-Btu coal, it can travel worldwide. We intend to expand into Japan and Korea as we move forward. And we think there are real value there long term for our shareholders.  A little more about the coal strategy. Our strategy, really, is to distribute high-value products from well-capitalized mine right here in Northern Appalachia where we have our handle on it, they're well-capitalized, the money is sunk and our shareholders will get value from that. We're expanding into domestic markets. We've picked up more high-vol coal here in the United States as well as the world markets, in steam and high-vol coal. You can see by our revenue records in the outside markets that it continues to grow and we see more value going forward. So we plan to expand into these markets more and more as time goes on.  Now we really are focused on expanding our existing reserves. These are fee reserves owned by our shareholders. So when you look at acquisition versus expansion, our focus really has been to expand the margins of what's already capitalized and you've seen that dramatically on our balance sheet. The next step we will take will be to expand this fee position that we already have with our shareholders, with the BMX Mine and the Amonate Mine on the met side. When you look at acquisitions, you compare those to these and because of the strong value that we have in the reserves that we have compared to our competitors, we look inward for much higher values than we see in acquisitions. We're maximizing this distribution of these high-value products to our port facilities and the strategies are working very well.  Now let's talk about gas for a minute. It has been a busy quarter and we have picked up 2 great partners. In both cases, they brought value to our footprint, one in the Marcellus Shale and one in the Utica Shale. When you look at Noble Energy, they made a big commitment to be our partner. We wrote the deal between each other to make sure that the partnership reflected capital discipline and value going forward. The same thing with the Hess group in the Utica. We plan to be partners with them to grow these values and get back to back and take it from the marketplace rather than write contracts to try to take it from each other. The values there are shareholders are going to get great value, the commitment is there from 2 very powerful companies and they will bring a lot to the table with CONSOL's strong balance sheet as well as our strong and long history right here on this footprint.  We've aligned our management philosophy with both these companies. We've talked at the highest levels. We're very focused, the watch word between all of us is wise use of capital because that is the limited supply and return on capital's very important to us. Our goal is to be the low-cost producer in everything that we do, just like what we've done in coal. And when you look at our held by production position, it looks very much like our fee position in coal. So when you put these 2 very strong engines together, I think great things are going to come to our shareholders. And the fruit of what we've done in the last 18 months is really going to come bear in the next 24 months. So with that, I'd like to open up for questions.
Operator: [Operator Instructions] And we'll take our first question in queue from the line of Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: My first question, I guess, is more a follow-through on some of the strategic comments that you just made. We're seeing the results today of the investments that you've made in your mind and how they're performing on a more consistent basis. You mentioned about moving inwards or looking inwards. You've got BMX and Amonate on the table, but we're going to be approaching the end of those as well too and you've got cash coming in the door, obviously, from these JVs. Can you give us a little bit more clarity with respect to kind of the strategic focus going forward? Where do buybacks fit, is it going to be a 50/50, half organic growth, half buybacks and also if you can sort of talk about where you'd specifically be targeting, would you be doing more port investments, is the Illinois Basin on the table as well too? Sorry, if you can give some color on that, that'd be great.
J. Brett Harvey: I'll have Bill Lyons talk about the buybacks. But let me say that the board's looked at where our cash position is. We've talked about it, we've raised the dividend, we've paid down the debt. And we continue to look at share buybacks based on where we see our capital in the short term and the long term. We do see cash flows coming in. I'll turn that over to you.
William J. Lyons: Shneur, certainly we feel that share buybacks have a place in our overall mix and what we do with capital. But until we get our 2012, '13 and '14 capital plans in-line, and until we see a little bit more clarity in gas prices, we really have no comment on share buybacks. Now certainly when you take a look at what we've done so far, I think increasing our dividend was a significant event and I think it puts us in the top class of companies in terms of return to shareholders.
J. Brett Harvey: Well, one other thing you asked about some assets, as well. All assets that aren't strategic to us going forward will be looked at as a monetization or opportunities to monetize. So we will continue to look at the asset base that we have to optimize where we're at.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: A follow-up question on the coal side. You mentioned in your press release today about how you've sold some high-vol coal to a domestic customer. Are there other tests with other customers, I mean, is this an emerging opportunity where you can expand the volumes that you'll be pushing into the high-vol met coal market domestically, as well?
Robert F. Pusateri: This is Bob. Schneur, we were very pleased to announce the successful test and ultimate sale of our high-vol coal into the domestic market. This is something that our sales team have been working on for some time. We are also currently conducting another test with a domestic steel supplier and we are hopeful that we will end up in a sale of coal there. It's very interesting because we're pushing our high-vol coal into the domestic market and we are making -- continuing to make inroads of this product also in Brazil, and we told you earlier in the year that we would sell 2.5 million to 3 million tons of high-vol coal into China. Right now, as Brett indicated, that number is probably for the year closer to 3.5 million, and so we're very pleased about that and we're looking forward to the 2012. If the Chinese economy is slowing down, with respect to its appetite for U.S. coals, no one has told the Chinese. They are very active in the marketplace with us and we're looking forward to a very robust year in 2012.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: One final question on gas. Can you just walk us through how many rigs you're sitting on in the Noble JV at this point right now and kind of what your expectation is for drilling wells for the next 2 quarters?
William J. Lyons: Schneur, if you look at the Marcellus and the drilling project that they're moving forward, last year, we drilled about 24 horizontal wells. This year, so far, at the end of the quarter, we're about 58. We're going to do between 80 and 85 horizontal wells on a 100% basis in 2011. Next year, we're still finalizing and refining the drill plans with our partner, Noble, but we expect somewhere in the 120 well neighborhood to be the number on, again, our gross basis when you add in what we're doing versus what Noble would be operating.
Operator: Our next question in queue that will come from the line of Brandon Blossman with Tudor, Pickering.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Let's see. Can we talk a little bit about -- and I know that you're in the budgeting process now but just, at least directionally, CapEx in '12 and '13 on a coal versus gas basis, what are you guys thinking there? And maybe just private [ph] in terms of year-over-year.
William J. Lyons: This is Bill Lyons. What we take a look at capital is we do it not by coal and not by gas, we do it by rates return. And whatever projects end up with a higher rates return are the projects that we fund. I think if you take a look at our track record last 3 years, that's basically how we've looked at it. We will continue to invest in our business into high rates of return projects and I think when you take a look at what we've done at the last 3 years, when we've consistently invested over $1 billion dollars in our businesses -- our operating businesses, you can see the fruits of those investments in our operating results, financial results over the last, really, 4 or 5 quarters. So that's basically how we look at it. We're in the middle of doing the capital review. It's a very expensive and intensive process and, really, until we get the results of that, we really can't comment on capital. But as I said, I think you can expect to see what we've been doing.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Fair enough. And perhaps as somewhat related for '12, it looks like there's a 500,000-ton cut in your production forecast for both low-vol met and thermal. Is there more detail available around -- and you mentioned, I think in your prepared remarks, comments that there was a change in mine plans or just a refinement of mine plans. Is there more detail available around that?
Robert F. Pusateri: On the low-vol, of course, that's our Buchanan coal mine. This year, 2011, we're probably going to do somewhere between 5.3 million and 5.5 million tons of production, which would be the best year for that mine in the history of that coal mine. So a lot of things went right this year, which is great and, as Bill Lyons had stated, a lot of that was driven by our capital investments and our operating plans that we invested into the Buchanan coal mine. So when you project out and look at 2012 and you look at everything from geology to what we think the 50th percentile case is on a run-rate basis, we come in at the 4.5 million to 5 million ton range. Now we update that, as you know, each quarter, once quarters come in, and as we beat that number or do better, because we're fortunate enough that things go well for a quarter, that would obviously change the 4.5 million to 5 million current estimate. But right now, 2012, low-vol; Buchanan Mine, 4.5 million to 5 million is our best 50th percentile estimate. Same issues happening across the overall coal operations when you get beyond Buchanan and some issues with geology or advanced rates specific to each mine. It gets more accurate and better forecasted as we approach the coming year along with one extra longwall move, I think, that we've gotten next year versus this year. That results in the overall projection for next year of about 59.5 million to 61.5 million tons total.
Operator: Our next question in queue that will come from the line of Jim Rollyson with Raymond James.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Brett, you obviously are pretty pumped up on the export opportunities this year and kind of long term. I wondered if a, you might spend a minute on what your kind of preliminary thoughts might be for next year; and also in the prepared remarks, you guys referenced the kind of continued strength in European export thermal demand and I think mentioned that there's possibly some pricing premium there versus domestic sales. Kind of curious the magnitude of what you're seeing on the premiums.
J. Brett Harvey: That's a good question. Clearly, we're bullish on the international markets because that's a growing market. The world is, in lack of better terms, it's the starved for Btus and coal. And they're going to use it. And we have a great -- I think a great asset base here. Now 13,000 Btu coal moves a long ways. What's unique about this coal is it also makes steel. And so it can move into the steam market at a very competitive rate or it can move into the met market at a very competitive rate. And we don't change anything. We don't change the nature, we don't watch it any different. We don't add more capital, we don't do anything. So we just move it. Now those markets compete with each other and when you have a product that moves back and forth, that's a real advantage to us. That's why I'm so bullish on the international markets. Bob, why don't you give us some color about what you see in Europe.
Robert F. Pusateri: Sure. Jim, as we reported in the release, we expect our 2011 exports to be around 10.5 million tons. For 2012, we look at our ability to be able to move the tons around to where we can receive the highest value. We're very sensitive to new market conditions and what our customers are looking for. And the best example that I can give all of you today would be, in the third quarter, we saw CONSOL moving its premium high-volatile coal into China for the first time. Now, how did we do that? We understood that the Chinese were not willing to pay our price for a low-ash, premium, low-volatile coal. So what we did is we worked with our operations group and we developed the way in which we managed to raise the ash from roughly 5.5% to 9.5% and by doing that, we were able to use the recovered refuse material from the heavy media cyclones to produce a 9.5% ash. Now what I need to tell you is that this material that we used to raise the ash from 5.5% to 9.5%, that material, normally, would have been disposed of. But we managed to -- our operators figured out a way to put it together and we are shipping this product now into China. And so we continue to take advantage of whatever market conditions that we can determine in order to better move -- be a global supplier. We're continuing to gain from our collaboration with EXCO and we're gaining further penetration into other markets. We are trying to get into Chile and South America. And we are -- that's why we're so bullish on 2012.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Any stab, Bob, at a volume number for next year on exports?
Robert F. Pusateri: There's no reason, Jim, for me to say that it'll be less than what we've seen in '11 and if I was in a room with a different bunch of guys, I'd give you the number. But I can't.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: And then a follow-up maybe, Nick, on the gas side. Do you guys -- when you did the call on the Noble JV, you talked about still thinking a 350 Bcfe number for production net to CONSOL by 2015 after the JV, but in light of the ramped up activity -- given the Utica JV that has happened since, are you still thinking 350 for next -- for 4 years from now?
Nicholas J. DeIuliis: Yes. The production bogey for 2015 on a net basis is still 350 base.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: And from the thought of -- I know you guys haven't guided next year, but we should probably just assume a nice straight line between -- of 2011 guidance and that magic number of 350?
Nicholas J. DeIuliis: Yes, on a net basis for this year, we'll be somewhere between 150 and 152, net. And 2015, 350 that ramp up, as you say, will be dependent on the JV drilling schedules for both Utica as well as Marcellus. We haven't disclosed it yet but we'll get you something soon for at least -- at a minimum '12.
Operator: Our next question in queue that will come from the line of Mitesh Thakkar with FBR.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Quick question on the gas side. With gas under $4, how are you thinking about the carries from Noble and assuming gas stays in this kind of range-- put it other ways, what kind of gas prices are you modeling to reach that 350 Bcf number?
Nicholas J. DeIuliis: The gas prices, we typically use the forecast or effectively the NYMEX forwards, less or net our hedges. The capital allocation philosophy, as you recall when we announced both the Hess and Noble transactions, we said that there were 2 overriding, qualitative things that we were looking for in our partners. One was our shared values of safety and compliance, that was the first thing. Second thing was a shared philosophy on capital allocation. That carried issue with Noble at $4 gas prices simply reflects and confirms that Noble shares the same capital allocation philosophy that we do. We're going to sit down with them. We're already in process of doing that, as part of the normal course of the JV, let alone the gas price environment we're faced with to figure out what the optimal allocation of capital on the drilling side, in light of what the Nymex forwards are. As we said earlier on the prior question, we still think that results in a 350 Bcf net number for 2015, but it's good to know that we have a partner that does share that capital allocation philosophy much the way that we do.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Great, excellent. One last question, can you provide us some update on the BMX expansion and Amonate, if you will?
William J. Lyons: Yes, both projects are on schedule. BMX continues to move forward within a very early, I'll call it, January 2014 start date. Production estimates are still in the 5 million ton per year range. That creates a lot of opportunities for Bob on the sales front, as well, with all the export discussions he just went through. Amonate is also on schedule and on target for a very early 2012 start-up. 400,000 tons, the rate production level for next year, that ultimately has the potential to ramp up to about 800,000 tons per year around late 2015, early 2016. So both projects are on schedule. No serious variations on production projections or capital projections that we provided earlier.
Operator: Our next question in queue that will come from the line of Lucas Pipes with Brean Murray.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: My first question is about the domestic thermal coal market. Could you maybe expand a little bit of what you're seeing there. I know you locked up a lot of volumes for 2012. How kind of does this fit in with your market view of the domestic thermal coal market?
J. Brett Harvey: Our customers continue to struggle, Lucas, with the timing of the cross states and the hazardous air pollution rules. And with that, they are skittish about coming into the marketplace at this point in time. We are very fortunate. We have been positioning ourselves over the last couple of years to sell our coal into the larger scrubbed plans. We estimate today that that's roughly about 90% of our thermal production, give or take, depending on how much of that we send over as crossover tons. We expect to close the gap on the since so-called 10% by selling additional thermal coal into these very large plans. We plan on taking market share from other regions. For example, Central App and whatever is left, we'll increase our export volumes as either met or steam. The good thing about this is that with all of this, some of these benefits also accrue to our gas segment.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: And then with the Baltimore port expansion, how is that going? Is that on schedule?
J. Brett Harvey: Sure, our Baltimore Port facility, the construction is on schedule. During the quarter, we loaded, I think, 33 vessels, that's down from the 41 vessels that we shipped in the second quarter, but the third quarter was unique. As you know, July is a maintenance quarter for both the mines and the railroads. We turned around and we were looking for a strong August. The terminal then was impacted by one hurricane, an earthquake and a couple of tropical storms. So we had that behind us and so we were ready to go for September to catch up and then September hit us with record rains, which just tormented us week after week, and we were also tortured with high winds. Given that, we still managed to load 33 vessels and we're on target to put about 12 million tons of coal through the terminal.
Lucas Pipes - Brean Murray, Carret & Co., LLC, Research Division: And then really briefly on the kind of the average cost side for your coal operations, do you have early projections, what it's going to look like for 2012? And maybe if you can provide some color for the fourth quarter, that would also be helpful.
William J. Lyons: I think we said in our comments, we expect about $54 on that, overall cost.
Operator: Our next question will come from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Brandon, interesting remarks from your trip to China. You mentioned something about 20 million ton potential for CNX-type coals. Is that a reflection of potential thermal and coking coal opportunities in that region and maybe you're talking about other regions as well, is that also a reflection of what could certainly be happening in the next 5 to 7 years in the U.S. with your utility customers, that seem to be hamstrung between regulation and a low gas price?
Robert F. Pusateri: I think it is thermal. And remember, that's a crossover coal and it's also very high Btu so they would look at it from both directions. But in the discussions when we talked to, I guess would be the trading companies that distribute to these smaller groups as well as the big steel companies, they didn't talk so much about -- they talked about price immediately, they wanted the volume, they want to know how much we could actually deliver to them. And when you tie all these pieces together, I saw the market as much bigger than -- we were cutting it off at price, basically, and that was -- we were doing that on purpose. We were selling our Bailey coal and establishing our Bailey coal into China and now it looks like that Bailey coal can stretch into -- stretch its wings in the bigger markets because of its quality, it's very high and it's very dependable. And we're seeing that, so that's kind of the position we're at. Now how do we get to 20 million? Well, we'll work our way there but I think the appetite share, that's a huge marketplace.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And certainly not so much going in the U.S.?
Robert F. Pusateri: Well, the U.S. itself, we own 30% of the world's coal but we sit and debate whether we're going to use it or not. I think the U.S. itself has to get an energy plan together that uses its resources, and in our case, it's either coal or gas and that's what the choices are. So -- and we're ready for either one of them.
Operator: Our next question in queue that will come from the line of Mark Levin with BB&T Capital Markets.
Mark A. Levin - BB&T Capital Markets, Research Division: A couple of quick questions. First, just as you kind of think about what the optimal capital structure is for CONSOL and how you think about that over the next couple of years, maybe from a debt-to-cap perspective or from a debt-to-EBITDA perspective, what do you kind of think are the appropriate leverage metrics for CONSOL, going forward?
William J. Lyons: One type of a -- one formula we use, it's based on how the markets are at the time we do transactions. I'm going to tell you, I certainly feel comfortable where we're at right now. In fact, as I mentioned the balance sheet, I feel really good that we have no short-term debt, that we have no debt coming due until 2017 and we have $460 million of cash on the balance sheet. What this does is give us tremendous optionality to take advantage of things that will come about, whether it's any type of development of our properties or if we take a look at we're going to pay down the debt in the future or other things. So right now, we're in a great position to take advantage of the options that'll be presented before us. And also I feel very comfortable with the capital structure we have right now.
Mark A. Levin - BB&T Capital Markets, Research Division: Brett, do those options going forward include M&A or do you feel like you've got enough on your plate right now in terms of the JVs that you guys have entered into, and that next year will be more a year of kind of harvesting or are you still out there looking for potential M&A opportunities?
J. Brett Harvey: Yes, we're very focused on the JVs and the success of those JVs. Because I think we want these JV situations to come to our balance sheet, build a lot of free cash flow and puts us in a good position to make good decision for our shareholders. Obviously, any M&A stuff would be looked at against internal projects but we're not out hunting. We've got a lot to do on our plate and we've executed a lot and now we need to make it happen, and our partners are important to us to get that done.
Mark A. Levin - BB&T Capital Markets, Research Division: Okay and one last question. Just in the context of sort of the broader global market where steel prices, both in China and globally have been declining, and we've kind of seen it at least in the various spot coking coal indexes, as you guys think about sort of the health of the market and as you kind of capital plan for 2012 against a fairly uncertain macro, obviously, things are moving very quickly, and we saw that in Europe last night. I mean, how do you guys think about coking coal prices next year as you develop your capital budget in a world where steel prices have been under a fair amount of pressure and if you listen to the steel companies, they're obviously concerned about demand going forward?
Robert F. Pusateri: Mark, this is Bob. First, just let me tell you that this Chinese steel production, although it slowed in the last couple of weeks, it still remains 10% above comparable levels in 2010. Global steel production, even despite some of the overtones that we hear in the news everyday, it's up 10% year-over-year. We're seeing a reduction in iron ore prices, but I don't think that that's translating dollar for dollar into a reduction in metallurgical prices. We're positive with respect to next year's pricing. It's been estimated that the pricing will be in the range, at somewhere around 240 to 270 a metric ton. And we're basing our capital outlays on that range. And please keep in mind that there is limited met coal production, certainly, here from the United States and we're very pleased that our Buchanan Mine is producing extremely well and we've been able to take advantage of that security of supply in the global marketplace.
Operator: Our next question in queue that will come from the line of Brian Gamble with Simmons & Company.
Brian D. Gamble - Simmons & Company International, Research Division: Question for you, Bob. I'm looking at the table, I'm thinking about the low-vol sales for next year. It seems like the last quarter, you had about 0.5 million tons at $84. The new tonnage seems to be found [ph] in the low 80s and the projection on the table seems to imply a $70 to $75 level. Is that based on your current conversations with the next test burn potential in the U.S? Is that based on some blend of U.S. and export? Kind of maybe walk me through why that number is softer than your current commitments?
Robert F. Pusateri: You referenced low-vol, I think you mean high-vol.
Brian D. Gamble - Simmons & Company International, Research Division: I meant high-vol, thank you, Bob.
Robert F. Pusateri: No problem. For 2012 right now, we're sitting on about 1.2 million tons of high-vol coal that's already been priced, and that's both domestic and overseas. In addition to that, we're looking at potential tons in Europe, Asia, South America, North America and we're projecting that number somewhere right now today because we don't have our vessel rates locked up for 2012. So, Brian, we're projecting that number to be somewhere between $70 and $75 for planning purposes.
Brian D. Gamble - Simmons & Company International, Research Division: Are you expecting a drastic change in vessel rates for next year? I mean, it seems like those have been pretty stable and with the capacity coming along, it doesn't seem like those would have very much volatility next year.
Robert F. Pusateri: Cape-size vessels, you're right, it hasn't changed. We're concerned that there might be some added salvage retirements of a number of cape-sized vessels. We're not sure exactly how many are going to show up as new equipment and we're actively in the market now trying to get this number locked down, Brian, but I don't have it for you today as we go forward. So when asked, I tell everybody that we're expecting to sell our high-vol coal into the market, in the export market, of somewhere between $70 to $75 a ton.
Brian D. Gamble - Simmons & Company International, Research Division: Great. And then, you mentioned that the current Baltimore expansion is on schedule as are the other mine expansions that you currently have ongoing. But given your comments of about 20 million tons, obviously, there's not a time period on that and -- but since you've been there and you know the demand is coming sooner rather than later, is there a sense that you might push forward the kind of Phase 2 plan at Baltimore, is that one of the items that's being discussed and if it has been discussed, is there any detail you can provide on when that might be a decision that you make?
J. Brett Harvey: I think, certainly, we're going to look for as much capacity to move tons offshore as we can. I think that the Baltimore expansion is something that's going to come in due course. It's going to match up with our BMX coming on. Our investments, we think a good portion of BMX Mine will be export, so you're going to see steady growth. Keep in mind we already produce over 20 million tons of Pittsburgh #8 coal, it looks like. And so it's a matter of export capacity and matching with the markets versus what the domestic market will take. So when I mentioned 20 million tons, I didn't expect it to happen right away but it could build to that based on the capitalization it were already set up at.
Operator: The next question in queue that will come from the line of Richard Garchitorena with Crédit Suisse.
Richard Garchitorena - Crédit Suisse AG, Research Division: This first question was just -- I want to touch a little bit on the cost side. Obviously, good quarter this year or this quarter. But maybe on McElroy, I guess the cost, given the $600 [ph] target for costs in Q4 that's largely behind you?
William J. Lyons: Yes, it is.
Richard Garchitorena - Crédit Suisse AG, Research Division: Okay, and then just maybe some detail on the higher-than-expected production costs comment in the press release, maybe if you had a breakdown maybe of the different components that impacted that?
William J. Lyons: Well, the cost for the third quarter you saw was $55 a ton, overall. And if you look at our fourth quarter guidance number, it's $54 a ton and we're projecting a bit of a lower production rate for fourth quarter versus what we did in prior periods. So that nets out to the impact that you're seeing with the McElroy and Enlow roof conditions that we experienced in the third quarter of '11. We managed the mines as a portfolio and we anticipate that these things will happen from time to time and the key for us is to make sure that we've got the ability to make up that lost production at one location with upside that's ready to be tapped at another location, that's what we did in the third quarter.
Richard Garchitorena - Crédit Suisse AG, Research Division: And then on Amonate, do you have any idea of where cost may come out, should we think about it in terms of your current operational on the high-vol side or...
William J. Lyons: $100 a ton would be a good estimate for expected production cost.
J. Brett Harvey: Keep in mind that's varied [indiscernible] seam high quality coal. And it's going to have a different cost structure than what you have seen at Pittsburgh #8 seam definitely and even much different than our big longwall operations like Buchanan.
Richard Garchitorena - Crédit Suisse AG, Research Division: Great, and just one more question on just the outlook. It sounds like you've seen customers on the met side, basically, not shy away despite the fact we've seen a lot of nervous sentiment. Would it be safe to say that current, I guess, negotiations for next year really -- haven't really seen much sort of falloff in demand, as Bob mentioned earlier?
Robert F. Pusateri: Richard, we're currently in discussions for met coal pricing for the first quarter or fourth quarter of the fiscal year. We probably won't see a lot of dialogue between us and some of our major customers with respect to price for the fiscal year until sometime in February. We have a production plan in place for our met mines in the first quarter. They're good numbers. And we've managed to balance our sales forecast against our production forecast. So we're not going to be looking for a place at a reduced price in the first quarter. And when I told -- said earlier that I was positive, that's one of the items that's driving my enthusiasm is because right now our supply and demand are matched for the first quarter.
Operator: Our next question in queue that will come from the line of David Beard with Iberia.
David E. Beard - Iberia Capital Partners, Research Division: I was -- appreciate the color on the coking coal pricing guidance and I was really trying to reconcile all the different comments out there on the status of the coking coal market and my thoughts were that either it was a company-specific production rate or quality of coal being marketed. Do you have any other thoughts that would account for the wide variation in the outlook on the coking coal market we're seeing from coal companies?
J. Brett Harvey: Well, again, I think that from a low-volatile standpoint, it's limited production, it's CONSOL and a few others. The good thing for us is that we have a relationship with the railroads that allow us to get our coals to the ports, get it loaded, we have the right quality, we have our relationship with EXCO that is working extremely well. We're selling coal into Korea, into Japan. Some of the prices that I've seen in print lately, David, are a surprise to me. I cannot understand, based on the market as we see it, why the prices aren't the level they are for some of these coals. Again, some of the lower-quality coals may not have a home in 2012. But the premium coals definitely should sell and it's going to rain again in Australia, it's just a matter of when.
Operator: That final question will come from Lance Ettus with Tuohy Brothers.
Lance Ettus: Just want to know a little more about your comments a little about Central Pennsylvania in the past. Just that there's much more of an update there. And also, we're talking a lot about the high-vol, minimal price is around base at $10 premium, give or take a few dollars to cap thermal and obviously, you were saying that you have a lot of flexibility there with the exporting for the thermal market. But what do you think is kind of the upside there, could it eventually -- after you've been kind of laying the groundwork [indiscernible] could eventually go to $20, $30, even $40 premium to other kind of a some of the other kind of low-grade mets that we saw the premiums expand in the last few years?
Nicholas J. DeIuliis: The first question about Central Pennsylvania. As Brett and Bill had indicated, over 4 billion plus tons of coal reserves, there's a lot of optionality and opportunity for assets that aren't currently what we'll call going concern. And one of those areas is Central Pennsylvania as it relates to the global metallurgical coal markets. We're currently refining different plans through different partnerships to assess what those opportunities might be. They will be there, it's just a function of market and what Bob's team sees syncing up with margins, but right now, no definitive plans to expand beyond where we're at in Central Pennsylvania.
Robert F. Pusateri: When you look at the Central Appalachian price being around $80 for a thermal coal that possibly could cross over into the met market, you heard me say earlier, Lance, that we're forecasting prices for our high-vol met crossover tons of between $70 to $75. When we look at our high-vol price for 2011, the average price that we're getting is $75 -- $79 and change. So we're providing ourselves a little bit of a cushion in our estimates for 2012 because there are some things, as I indicated earlier, the vessel rates are still unknown. We're looking at different production scenarios. But at the end of the day, we have a strong position, we expect to duplicate, if not exceed, our 2011 numbers and we have about 84% of a all of our coal sold for 2012. And we have probably another few percent that is sold but it's still unpriced. All those negotiations are going well, and all that adds up to support our enthusiasm as we go forward for next year.
J. Brett Harvey: One thing I want to bring to the point here is the inventory is as low as it's ever been across the board. So you got a company, the largest steam company and one of the largest met companies going into the winter and going into met negotiations with no inventory. And so it's clear to me that when the market turns, there's going to be real value here. If there's coals on the margin, I guess they'll be priced as marginal coals, but when it comes to our coals, I think we're going to get good pricing and get the volumes. So moving into 2012, we feel pretty good.
Brandon R. Elliott: All right. Thanks, everyone, for joining us today. Obviously, Dan, David and myself will be around to take any follow-up questions you may have. We appreciate everyone taking the time and your interest in CONSOL energy. And we obviously look forward to updating you again on our fourth quarter conference call at the end of January.
Operator: Thank you, Sir. And ladies and gentlemen, this conference will be available for replay after 12:30 p.m. Eastern time today running through November 3, 2011 at midnight. You may access the AT&T executive playback service at anytime by dialing 800-475-6701 and entering the access code of 220475. International participants may dial 320-365-3844. That does conclude your conference for today. We do thank you for your participation and for using the AT&T the executive teleconference. You may now disconnect.